Operator: Hello, and welcome to Exelon's First Quarter Earnings Conference Call. My name is Olivia, and I'll be your event specialist today. [Operator Instructions] Please note that today's webcast is being recorded. [Operator Instructions] It is now my pleasure to turn today's program over to Jeanne Jones, Senior Vice President of Corporate Finance. The floor is yours.
Jeanne Jones : Thank you, Olivia. Good morning, everyone, and thank you for joining our first quarter 2022 earnings conference call. Leading the call today are Chris Crane, Exelon's President and Chief Executive Officer; and Joe Nigro, Exelon's Chief Financial Officer. They're joined by other members of Exelon's senior management team who will be available to answer your questions following our prepared remarks. We issued our earnings release this morning along with the presentation, all of which can be found in the Investor Relations section of Exelon's website. The earnings release and other matters which we discuss during today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. Actual results could differ from our forward-looking statements based on factors and assumptions discussed in today's material and comments made during this call. Please refer to today's 8-K and Exelon's other SEC filings for discussions of risk factors and other factors that may cause results to differ from management's projections, forecasts and expectations. Today's presentation also includes references to adjusted operating earnings and other non-GAAP measures. Please refer to the information contained in the appendix of our presentation and our earnings release for reconciliations between the non-GAAP measures and the nearest equivalent GAAP measures. We've scheduled 45 minutes for today's call. I'll now turn the call over to Chris Crane, Exelon's CEO.
Chris Crane : Thanks, Jeanne, and good morning to everybody and thanks for joining us. We're pleased to host our first post-separation earnings call as the nation's premier T&D utility company. We closed, as you all know, on the separation on February 1, delivering on our commitment to close within the first quarter of 2022. The transition has really unlocked significant value for our shareholders. In the time of announcing a year ago through mid-April this year, the total shareholder return was 76%, far exceeding the UTY Index and the S&P. At the same time, we continue to demonstrate our reliability focused on operational and financial excellence. We earned $0.49 per share on a GAAP basis and $0.64 a share on a non-GAAP basis -- non-GAAP basis. We also completed a successful bond deal for our holding company with attractive pricing, showing the value of our strong balance sheet even in a challenging market. Joe will cover the financial highlights in his presentation shortly. On the regulatory front, it is a quiet year, but we made progress in several jurisdictions to support our investment plans on behalf of our customers. This includes a settlement in Delmarva, Maryland in the electric case, the gas filing for Delmarva Delaware and PECO and our last distribution filing under the ComEd distribution formula rate. In addition, ComEd continues to work with the stakeholders on the CEJA, last year's landmark clean energy legislation that continues to support what our customers and our stakeholders want. It's a clear path to Illinois electric utilities to transition into a rate setting process while we're ensuring the stake and support its ambitious climate goals and its social equity goals. We feel comfortable in our process going forward. ComEd has proposed performance metrics plan before the ICC which includes 8 performance metrics and 13 tracking metrics. As we adjust our proposal for stakeholder feedback, we're optimistic that the metrics approved by the commission will support continued improve in our -- improvement in our top-tier service for customers. We expect the final order by the end of the third quarter.  There's a lot of work to be done between here and there. ComEd's also participating in the stakeholder process in a multiyear integrated grid plan workshop. The plan will help ComEd's long-term investment planning process and priorities with the exception of the regulatories -- regulators in CEG pay. This is in preparation for our filing in early 2023 for rates effective in 2024. Joe will cover that case in a little bit more detail. Beyond the financial performance and operational performance, we continue to focus on our communities and the transition to a cleaner grid. We joined the DOE's better climate challenge in February, reinforcing our Path to Clean commitment to reduce Scope 1 and Scope 2 greenhouse gases by 50% by 2023 -- 2030. As part of the HBCU corporate scholars program announced last fall, we have 24 students who were awarded $2.4 million in scholarships. This program will support the next generation to lead our clean energy future. It's astounding to sit with these young students and see their passion on where they want to go in the future. We are funding support for small business development in underserved communities in our service territory for more than 65 workforce-type programs where we train and make individuals capable of coming into our areas ready for work. And our fifth annual STEM Academy will be held this summer in Philadelphia, Chicago, D.C, Baltimore area with approximately the goal now is 60 women -- young women to be involved. Moving to our operations on Slide 5. We're delivering safe, reliable service across the jurisdictions. Performance has remained solid and outage durations and frequency remain our top priority. Our utilities are working together to improve in specific areas. As you saw this weekend, on the Mid-Atlantic utilities, the storms continue to intensify and the duration continues to be lengthened, but our operations teams are really focused on that in continuing to drive standards of construction reliability up. ComEd's reliability performance was top decile in both CAIDI and SAIFI, delivering on the highest first quarter reliability to customers for end-of-year earn record. We made improvements in OSHA performance, bringing PECO up to top quartile, but we really are not satisfied with anything but the safest experience for our employees and our communities, and we still have work to go on that. There is no shunning that away. It's a top priority of all our operations towards. BGE and ComEd and PECO all achieved top quartile and customer satisfaction through the quarter. In all 3 of our utilities that distribute gas, we're in top decile on order response. PHI had perfect execution, responding to all its gas orders in less than 1 hour. And that's a very large service territory acreage-wise, so being able to roll the trucks and the employees out is a good feat that they've achieved. Joe will highlight some of our investments we're making to help deliver this performance. And with that, I'll turn it over to Joe for you to hear the financial update and some of the strategic actions we're taking.
Joe Nigro : Thank you, Chris, and good morning, everyone. Today, I'll cover our first quarter results, as Chris mentioned, our quarterly financial updates, and as he noted, highlight several areas in which our utilities are making investments for the benefits of our customers. If I start on Slide 6, we show our quarter-over-quarter adjusted operating earnings walk. Exelon's continuing operations earned $0.64 in Q1 of 2022 versus $0.55 in Q1 of '21. Let me start by reminding you the impacts to Exelon's financials following the separation. As disclosed in our 8-K issued on February 25, beginning with the 10-Q to be filed today for the first quarter of 2022, we are presenting our former Generation segment as discontinued operations for the 1-month period in 2022 prior to the separation and for the 3 months ended March 31, 2021. Financial results for the utilities in the holding company are reported as continuing operations. As a reminder, accounting rules require that certain corporate overhead costs previously allocated to generation be presented as part of the Exelon's continuing operations.  I want to note that these costs were paid for by generation and they are not indicative of our corporate overhead post separation. The impact of this business services company allocation adjustment to Exelon's continuing operations is $0.09 for the first quarter of '21 and $0.02 for the one month in 2022 on an after-tax basis. You will continue to see this adjustment for '21 as we present prior year quarters. However, this adjustment only impacts Q1 for 2022. Excluding the $0.07 quarter-over-quarter impact of the discontinued operations accounting adjustment for BFC allocations, Exelon's first quarter results were $0.02 higher than the first quarter of '21. The improvement from '21 was primarily driven by higher transmission and distribution rates associated with completed rate cases, partially offset by depreciation and amortization and stores at the utilities and the impact of rising interest rates on debt at the holding company. Our operating earnings results of $0.64 for the first quarter were in line with the percentage of full year earnings we shared with you in the January 2022 Analyst Day presentation. Turning to our full year outlook. We reaffirm our 2022 earnings guidance range of $2.18 to $2.32 per share. While we have benefited from rising treasury rates on ComEd's distribution return on equity, like most companies, we were also impacted by higher interest expense in our debt, in particular at our holding company. As we normally do, we will update guidance on our Q3 call. As a reminder, we have committed to a long-term operating earnings growth target of 6% to 8% through 2025, off the midpoint of guidance for '21 communicated on the Analyst Day. Moving to Slide 7. Looking at our utility returns on a consolidated basis, we expect to be in our consolidated 9% to 10% target range by year-end. As of the first quarter, our trailing 12-month return on equity of 8.9% dipped slightly below our range. Despite higher earnings driven primarily by distribution and transmission rates, the earnings were outpaced by timing of equity infusions across all our utilities to support capital investments. We remain focused on delivering stronger returns at the utilities which sustain the investment we make on behalf of our customers. Turning to Slide 8. There were some important developments on the regulatory front since the beginning of the year. First, on January 14, Delmarva Power filed an application with the Delaware Public Service Commission seeking a $14.5 million increase in gas distribution base rates, reflecting an ROE of 10.3%. Delmarva Power customers continue to benefit from the major enhancements that are being made to the local natural gas system. Key projects to strengthen and create additional capacity in the company's natural gas delivery system have also been critical to meet growing load. As permitted by Delaware law, Delmarva Power will implement full allowable rates on August 14, subject to refund. Second, Delmarva Maryland received a final order for its distribution electric rate case on March 2. The Maryland Commission approved the proposed settlement order by the Chief Public Utility Law Judge that recommended a $12.5 million increase in annual electric distribution rates, reflecting an ROE of 9.6%. Third, on March 31, PECO filed a gas distribution rate case with the Pennsylvania Public Utility Commission. PECO is seeking a revenue increase of $82 million to support significant investments in critical infrastructure which will modernize and enhance the natural gas system and allow us to continue delivering safe and reliable natural gas service and reduce methane emissions. In addition, the filing proposes enhanced energy efficiency and customer safety programs, increase customer assistance with additional low-income funding and the continuation of small business grant program. We expect an order in the fourth quarter of 2022. Finally, ComEd filed its annual distribution formula rate update with the Illinois Commerce Commission on April 15, seeking a $199 million increase to electric distribution base rates that resulted in a $2.20 increase in the average monthly residential bill starting January 2023. While ComEd is requesting a delivery charge increase, there will be offsets. Specifically, when taking into account higher energy prices based on the recent procurement auction and forwards, offset by lower capacity prices, the carbon mitigation credits and accelerated tax benefit, we currently estimate a net reduction to the average monthly residential bill. ComEd's residential customer rates next January are expected to be at least 10% below the average of rates in the 10 largest U.S. metropolitan areas. In its formula -- in its final formulary filing, ComEd's request supports investments needed to sustain the record level reliability performance for residential and commercial customers and helps advance the goals of the Climate and Equitable Jobs Act passed in Illinois to address climate change, create clean energy jobs, ensure equity and prioritize a just transition to a green economy. We expect to receive an order by early December. We continue to have constructive regulatory relationships across our jurisdictions and are working with our regulators, our states and our communities to support their clean energy and climate goals. As a reminder, we expect nearly 100% of our rate base growth will be covered by alternative recovery mechanisms by the end of our planning period. More details on these rate cases can be found on Slides 17 through 20 of the appendix. Slide 9 provides an update on how Exelon's utilities are working with key stakeholders to help our customers and jurisdictions achieve their decarbonization goals reliably, affordably and equitably. Electric vehicle adoption is unquestionably a key enabler for reducing emissions as the transportation sector currently represents about 1/3 of total U.S. greenhouse gas emissions. Our jurisdictions alone are targeting 4.2 million electric vehicles on the road over the next 25 years, a twentyfold increase relative to the number of EVs in our service territories as of the end of 2021. Given our competitive rates, Electric vehicles also provide our customers the ability to save money. Using the Department of Energy's e-Gallon calculation, the annual cost of an electric vehicle is approximately $1.30 per gallon compared to the price of gasoline at $4.30 per gallon. On average, customers in Exelon service territories could save more than $1,000 per year in fuel cost by switching to an EV. Utilizing Exelon's EV time of use rates could offer an additional 11% savings per year. And while we recognize there are adoption costs and other barriers to entry, we value the role we play in bridging social equity gaps. Working with our jurisdictions, we bridge those gaps through programs like those authorized in the Climate Solutions Now Act in Maryland, which allows utilities to partner with local school boards and offer up to $50 million in rebates to incentivize the purchase and operation of electric school buses. And the benefits are not inclusive to EV buyers. As more energy use applications leverage the grid, fixed costs will naturally be lower for customers who have not yet made the switch to electric vehicles. As our states make this transition over the coming decades, Exelon is poised to support our customers through investments such as upgraded distribution circuitry, substations and ultimately transmission. Transforming the grid over this period to meet the increased standards required by EVs, along with other expanded and innovative uses of the grid, will require significant investment. Our Path to Clean encourages customers and communities to reduce their emissions through access to clean energy solutions. When establishing our goals, the focus was not solely on the environment, but also on equity, affordability, reliability and sustaining our communities. The role we are playing in the transformation of the transportation sector is a great example of this commitment. Moving to Slide 10. During the first quarter, we continued to invest capital for the benefit of our customers and are on track to meet our $6.9 billion commitment for 2022. These investments will improve reliability and resiliency, enhance service for our customers and prepare the grid for a clean energy future. As we have done on past earnings calls, I'd like to feature 2 projects within our portfolio of utility investments. The first is Pepco's Harvard substation rebuild. This substation is part of a larger capital grid project and is currently under construction with expected completion in 2023. This $220 million project will renovate aging infrastructure originally installed over a century ago to improve grid reliability and resiliency. The rebuild also expands regional transmission capacity, supporting future load growth in Washington, D.C. The second project is ComEd's $39 million Project Goldframe. ComEd completed it last fall, 3 months ahead of schedule, to meet the customers' accelerated project timeline. To service new load obligations at the data center and the surrounding area, ComEd installed a new 138 kV substation and associated equipment, including an indoor control building, 15 138-kV circuit breakers, 4 capacitor banks and transmission line extensions to the DeKalb area in Illinois. This was the first large-scale project resulting from the passage of Illinois Data Center Tax Incentive Program in 2019. It also likely creates additional renewable energy projects in the state as 100% of customer usage will be offset by wind and solar contracts. Both contracts or both projects are great examples of how we are connecting our customers and communities to affordable, clean and resilient solutions while enabling economic growth and local job creation through these modernization investments. These projects in their own right have significant economic and social benefits to our customers and communities served. However, combined, they represent less than 1% of Exelon's projected capital spend from 2022 to '25. This puts in perspective the scale and the impact of our investments. Moving on to Slide 11. As you've heard us say at Analyst Day, our consolidated corporate credit metrics are anticipated to average 13% to 14% at S&P and Moody's over the 2022 to '24 time period. And overall, maintaining a strong balance sheet to firmly supporting investment-grade credit ratings remains core to our strategy and who we are. From a financing perspective, we successfully completed a $2 billion corporate debt offering in the first quarter, which completes our long-term debt financing needs at corporate for the year. This inaugural offering as a new company garnered significant interest from investors, enabling a very strong execution that was a true testament to the strength of our balance sheet and our new platform. And finally, there has been no change to -- in our guidance to issue $1 billion of equity at the holding company by 2025. Thank you, and I'll now turn the call back to Chris for his closing remarks.
Chris Crane : Thanks, Joe. Turning to Slide 12. I'll close by reminding you all of Exelon's value proposition as the premier team, the only company in the nation. We're offering a great deal of value and scale, size and scale, which is particularly beneficial given the challenges posed in today's microeconomic environment and the storm intensity, as I mentioned earlier, over the weekend. We continue to be able to move resources and continuing to be able to procure required needs in the right environment. Our best-in-class operations that have led us to a world-class customer experience and constructive regulatory environments, which is key if your customers are not satisfied, the regulators aren't satisfied and that's a major focus of us. Our commitment to ESG principles by driving to a cleaner energy economy and advancing social equity, as Joe mentioned, and a strong balance sheet that will ensure our ability to invest on behalf of our -- all of our stakeholders, not only the customers, but those that want to see a stronger cleaner environment, all of these factors support our opportunity to invest $29 billion of capital over the next 4 years in response to our customer needs which will lead to an annualized 6% to 8% operating earnings growth through 2025. We've targeted a payout of 60% of those operating earnings each year back to the shareholders. Thank you very much for joining us, and now we'll open it up for questions that you may have.
Operator: [Operator Instructions] And our first question coming from the line of Paul Zimbardo from Bank of America.
Paul Zimbardo: Going to kick it off, if you could give a little bit more quantification of the net impact between the higher interest rate environment on the formula ROE in Illinois offset by the corporate cost. And it seems like a net positive mixing those 2 together. So just want to check if there's any other factors to be cognizant of as well.
Chris Crane: Joe, you want to take that?
Joe Nigro: Yes, I will, Chris. Paul, thanks for the question. When you look at the sensitivities we've shown you in the table, a 50 basis point move in treasury rates is worth about $0.04 to ComEd which is what we saw at the end of the first quarter. And that was -- about $0.01 of that was realized the way the formula prices is over the course of the year. So we've subsequently seen those rates move higher here in the second quarter. On the flip side to that is when you look at our corporate debt, we show you a sensitivity to a 50 basis point move, it's about a $0.01 impact. And so that move, about roughly 100 basis points or so in the third year -- year-to-date is down about $0.02 and those are the 2 big drivers of each of those variables.
Paul Zimbardo: Okay. Great. That's helpful. Does seem positive. And then the other, I know you said no changes to the equity issuance expectations. Just if you could discuss the approach to the timing and methodology, maybe a block or ATM, just given the appreciation of just Exelon but the utility sector broadly.
Joe Nigro: Yes. I think as we've said, we're expecting to issue up to $1 billion of equity by 2025. We haven't said necessarily when we're going to issue that. And the timing will be dependent on market conditions as well as the need for the cash itself, obviously. I mean there's a lot of things changing in the macro environment when you look at interest rates and, obviously, what the equity market is doing. And we'll work with our banking partners to make a determination at the time we need the equity or the cash as to what type of product we'll use. But at this point, we haven't made that final determination.
Chris Crane: Yes. And I think the key, Joe, on that is watching the solid balance sheet metrics and ensuring that we continue to focus on that.
Joe Nigro: Yes, that's right, Chris. I mean you and I both said in our scripts, right, we're investing $29 billion here over the next 4 years. And what we said at Analyst Day is $14 billion of that will become off of internal generated cash flows with the utilities, $14 billion at debt we raise across the enterprise and then about the need for the $1 billion, we just haven't made a determination as to when we need it.
Operator: Our next question coming from the line of Steven Fleishman from Wolfe Research.
Steven Fleishman: So just want to clarify the -- some of the adjustments, not looking backward, but maybe looking more forward. The $0.64 in the quarter, I think, includes $0.02 related to that last month of Constellation. So if we look to '23 in the future, would $0.66 essentially be the right base to kind of forecast from other drivers in the future?
Joe Nigro: Yes, Steve. Thanks for the question. You're right the way -- I mean if you talking about the performance of the business in the first quarter and removing the impact of discontinued operations, it was $0.66. When you compare that to Q1 for '21, the equivalent number would be $0.64. You're also right, the impact in Q1, because we have to recast the whole quarter, was $0.09. But because we closed the separation February 1, it's in only a 1-month impact in '22. We would expect that 1 month to effectively drag into the comparisons that you see in '23 next year because of the month of January of this year.
Steven Fleishman: Okay. Great. And then just the ROE improvement that you're expecting over the course of the year. Is that just kind of the normal rate relief flowing through and things like that? There's no other kind of key new drivers required to get the returns up?
Chris Crane: It's a little lumpy. But as the rate cases go through, we expect the improvement to go within our range of 9% to 10%, and we just have to execute on the plan. So 8.9 right now should come up, Joe, within a few quarters, and we'll be within our range of desire.
Joe Nigro: That's correct, Chris. We'll be in that 9% to 10% range by year-end, Steve. We infused equity into the utilities in the first quarter. The earnings were up, but they weren't up enough to offset that equity infusion and it just takes some time to reverse that effectively.
Operator: Our next question coming from the line of Jeremy Tonet from JPMorgan.
Jeremy Tonet: Just want to go over to Illinois here real quick. I wonder if you could update us a bit on how the Illinois rate making process is progressing in the transition to its new multiyear framework. Any color you could share there would be helpful.
Chris Crane: Joe, are you going to cover that?
Joe Nigro: Please repeat the question for me. I'm sorry, I didn't hear it.
Jeremy Tonet: Just as far as Illinois ratemaking process progressing in the transition to its new multiyear framework, any color you could share there on the progress.
Calvin Butler: Jeremy. Chris, this is Calvin. I'll take that one. ComEd -- as Chris outlined, ComEd filed its last rate case under the formula rate this year. And they are preparing a meeting with stakeholders, including the Illinois Commerce Commission, for their first filing of whether it's a traditional future test year or whether they go into a 4-year multiplan -- year plan as outlined by the new energy law. The meetings with the stakeholders is critical in that as ComEd lays out its options. And as Chris outlined, they will be making that filing the first part, January - -first quarter of 2023, with an expected ruling from the commission by the end of the year. So that, to your direct question, the transition is going smoothly. All the meetings are being done and met and the team is lining up on what is the appropriate course moving forward.
Jeremy Tonet: Got it. That's very helpful. And just with the new look Exelon here, just wondering how do corporate cost efforts currently stand since the separation? Are they tracking your expectations at this point? And do you have any sense for upside opportunities and potential magnitude of cost savings over time now post separation here?
Chris Crane: Yes. I wouldn't commit to upside yet. We've got to get through this transition. There's a lot of work being done by the business services company to execute on plan, the wrong plan right now and we feel comfortable. We watch the IT transition quite closely. That's one that can't get away from us, separating the financials, separating the operational, separating the common databases is -- it's crucial to making our targets. And right now, we're on track and we hope to improve on it, but I wouldn't commit to any significant improvement at this point. We have to continue to work through the process of the separation. It's astounding how much work has got to be done and it is on track, but there's a lot of people focused on it. If you look at the financials itself, separating that, looking at the operational integration, separating that, it's quite extensive. So we have the right leadership with Bridget Reidy and we continue to focus on it. Some areas might be a little bit faster than we anticipated based on the push from Constellation and Exelon, but too early to predict an upside.
Operator: Our last question coming from the line of Durgesh Chopra with Evercore.
Durgesh Chopra: I have a quick clarification and then a big picture question on EVs. Just, Chris, I think you mentioned, if I heard it correctly, an order in the third quarter on the Illinois, I believe the multiyear rate framework, and I believe it -- that relates to the discussions on metrics, operational metrics that are sort of adders to the ROE. Did I hear that correctly?
Chris Crane: I wouldn't say it's the third quarter, Calvin. It's at the end of 2023 that would be finalized, but we did put in our input for the metrics, the operational metrics to ensure the customer satisfaction. But your time line, Calvin.
Joe Nigro: Chris, you're right. We did put something in our metrics and we would expect to get -- get a response back on that in the time line that was mentioned, but not the full rate case itself.
Calvin Butler: Right. So the performance metrics, as we've outlined, as you hit, Chris, the 8 performance metrics that they're looking for and we're currently -- it's outlined by the statute, by the law, and Gil and his team are working to drive what those are and give an agreement and alignment to how we move forward. But yes, we think within that, we know within the filing, [both] will all be locked down and our filing will take place in the first quarter of 2023.
Durgesh Chopra: Got it. But just to be clear, the sort of the stance or the commission order as to what those metrics might look like and what those like both qualitatively and quantitatively, that comes in -- later in 2023?
Joe Nigro: 9/30 this year.
Calvin Butler: Right. By 9/30 this year, we will have outlines, therefore, allowing the team to prepare for the rate case filing in the first quarter of 2023. We will know exactly what they are and how they will impact the business positively and/or negatively if those metrics aren't met.
Durgesh Chopra: Perfect. Guys, I appreciate you clarifying that. So in the third quarter, we'll know what those metrics are and that will dictate your filing in the first quarter of 2023.
Calvin Butler: Correct.
Joe Nigro: Correct.
Durgesh Chopra: Okay. And then just a quick follow-up. On EVs, thank you guys for sharing sort of the illustrative EV charging cost versus gas drilling cost, tremendously helpful. Maybe just very high level, and I appreciate this is a long-dated opportunity, is there a way to kind of think about the CapEx opportunity associated with this increase loads demand? And I appreciate it's over a sort of a 20-, 30-year period.
Chris Crane: Yes, one of our jurisdictions have a different focus and we're trying to work through those. But we do see, and I'll let Calvin speak to it, we do see a potential upside in the demand required to support the EVs. And for us, it's the infrastructure costs that we have to put in, changing voltage levels up from 41 60 to 13 8 to ensure that you've got not only the distributed generation, but you can service the EV demand. And working in the different jurisdictions on how that is framed is important. Calvin, I don't know if you want to add anything there.
Calvin Butler: I'll just -- I'll provide you some specific numbers. When you think -- because Chris is exactly right that each of our jurisdictions has approached this some more aggressive and others are just taking a staggered approach. So let's put it in terms of this. Right now, across our territories, we have approximately 215,000 EVs on the road out of the roughly 17 million vehicle registrants. So here under current statutes, the laws that have been passed, so let me just tell you about the degrees of pace. In Maryland, they have said they want 300,000 EVs on the road by 2025. New Jersey, 330,000 by 2025 and 2 million by 2035. Illinois law requires or says 1 million by 2030. And then in Delaware, 20% of the state registered vehicles by 2025. D.C., 25% by 2030 and 100% by 2045. And Pennsylvania is looking to replace 25% of its vehicles and transitioning to EVs. That just goes to show you the opportunity. And when you look at the infrastructure that is going to be required to meet that and all of our capital plan, we see the opportunity across the Exelon utilities. So to Chris' point, all different but significant opportunity for us to be partners in building out that infrastructure and preparing the grid.
Durgesh Chopra: Got it. for taking time to answer my question. It sounds like a significant infrastructure opportunity for you guys as it is for the utilities and some of the states here moving faster than others in your territory.
Chris Crane: Yes. And for the customers also, it's -- that's our major focus, is continuing to look forward to service the customer needs.  But I thank you for joining the call today. We're looking forward to our continuing, consistent performance we've delivered across our utilities. And with that, Jeanne, unless there's anything else, I'll close the call.
Jeanne Jones : Thanks, Chris.
Chris Crane : Thanks, everybody. Bye.
Operator: Ladies and gentlemen, thanks to all our participants for joining us today. This concludes our presentation. You may now disconnect. Have a good day.